Operator: Good day and thank you for standing by, and welcome to the FactSet Q2 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Kendra Brown, Head of Investor Relations. Please go ahead.
Kendra Brown: Thank you and good morning, everyone. Welcome to FactSet's second fiscal quarter 2023 earnings call. Before we begin, I would like to point out that the slides we will reference during this presentation can be accessed via the webcast and are currently available on the Investor Relations section of our website at factset.com. A replay of today's call will be available via phone and on our website. After our prepared remarks, we will open the call to questions from investors. To be fair to everyone, please limit yourself to one question plus one follow-up. Before we discuss our results, I encourage all listeners to review the legal notice on slide two, which explains the risks of forward-looking statements and the use of non-GAAP financial measures. Additionally, please refer to our Forms 10-K and 10-Q for a discussion of risk factors that could cause actual results to differ materially from these forward-looking statements. Our slide presentation and discussions on this call will include certain non-GAAP financial measures. For such measures, reconciliation to the most directly comparable GAAP measures are in the appendix to the presentation and in our earnings release issued earlier today. Joining me today are Phil Snow, Chief Executive Officer; and Linda Huber, Chief Financial Officer. We will also be joined by Helen Shan, Chief Revenue Officer for the Q&A portion of today's call. I will now turn the discussion over to Phil Snow.
Philip Snow: Thank you, Kendra, and good morning, everyone. Thanks for joining us today. I'm pleased to share our second quarter and first half results. Our Organic ASV plus professional services growth year-over-year accelerated to 9.1%, driven by a healthy expansion among existing clients and the successful execution by our sales team of our price increase in the Americas. We saw several large wins this quarter outpacing last year and allowing us to capture more of the addressable market. Our second fiscal quarter performance resulted in adjusted diluted EPS of $3.80 and an adjusted operating margin of 37%, exceeding our guidance and situating us well for the remainder of the fiscal year. Growth this quarter was the strongest amongst banking, asset owners and wealth management clients aided by larger wins across each of these client types. Acceleration was broad-based with double-digit ASV growth from our banking, corporate and private equity and venture capital clients and our investments in Content & Technology supported retention and expansion. We saw our core workstation drive follow-on opportunities for feeds and digital platforms and wealth and increased transactional revenue and demand for content from asset owners. In the first half, our end markets remained largely supportive. However, we are not immune to market volatility. As interest rates rise and macroeconomic conditions remain uncertain, we're beginning to see a more challenging environment for our clients. This includes reductions in AUM, constrained budgets and headcount rightsizing after increased pandemic hiring. We're also monitoring the recent instability across the banking sector, which accounts for 17% of our ASV. In this regard, there are several key factors to keep in mind. First, FactSet is not materially exposed to commercial banking. Second, no one single client represents more than 3% of our ASV. And finally, our multi-year enterprise contracts of our protections that includes seat minimums and longer cancellation notification windows. Given the evolving market dynamics, particularly in banking, we feel it is prudent to take a conservative view on the second half of the fiscal year. As such, we expect continued ASV growth, but with modest deceleration in the second half. We are therefore updating our guidance for fiscal 2023 to reflect organic ASV growth of $145 million to a $175 million, inclusive of CUSIP Global Services, which becomes an organic part of our business in the third quarter. At the midpoint, this is a $15 million reduction in core business ASV growth. We expect two-thirds of this reduction to come from the challenging conditions facing the banking sector and the remaining one-third is expected to come from lengthening sales cycles and constrained budgets for other firm types. This reduction in ASV will be offset by the addition of $10 million of ASV growth from CGS. Together, these changes represent 8% growth at the midpoint in line with our medium-term outlook. To preserve EPS, we will continue to drive disciplined expense management. As a result, we expect adjusted operating margin of 34% to 35%, as previously communicated. We maintain a long-term view of our business and are steadfast in our commitment to investing for growth and we will speak more about CGS and guidance later in the call. The demand for data and technology is increasing and we are a proven trusted partner for our clients for their digital transformations. In the second fiscal quarter, we remained focused on building the leading open content and analytics platform and several large deals reinforced our conviction regarding this strategy. First, within Research & Advisory, we were selected as the primary market data provider for BMO's Wealth Management division. This was a key contributor to almost 9% workstation growth year-over-year. Our ongoing investments in our digital platform and content refinery also resulted in wins across banking. The most notable was a seven-figure deal for a global bank sell-side research department, which included workstations and data feeds. Across the sell-side, we are meeting the needs of flexible integrated solutions, including feeds, APIs, CRM integrations and banker productivity tools. In Content & Technology solutions, we won a major real-time deal to provide our market data-as-a-service offering to a premier asset management client. This solution will replace its legacy on-premise infrastructure. Our ability to augment enterprise platform deployments with consistent data is accelerating growth and expanding our share of wallet for Content & Technology solutions. Finally, within Analytics & Trading, investment in our portfolio lifecycle suite has increased cross-sell opportunities with active asset managers and asset owners. Within the middle office, growth accelerated in our core analytics offering, which includes Portfolio Analytics, Quantitative Solutions, Fixed income and Reporting. We also see increased buy-side demand for outsourced performance and risk solutions, consistent with the trend toward investment firms outsourcing middle office functions. Our open platform and enterprise solutions have positioned us well to capitalize on this with several other opportunities in our pipeline. As we celebrate the first anniversary of the acquisition of CUSIP Global Services, I'd like to congratulate the team on a job well done. CGS has exceeded expectations with ASV growth of 8% since the acquisition. CGS's Core Securities Identification capabilities align well with FactSet's data management strategy. And with the integration now complete, we are focused on growth across asset classes, geographies and capabilities. We are working on expanding into loan data and private companies. For more than 50 years, CGS has provided mission-critical solutions to the front, middle and back-office. This work continues and in close partnership with The American Bankers Association we will continue to innovate. Turning to performance across our regions. Organic ASV growth in the Americas accelerated year-over-year to 9.3%, driven by strength in Analytics & Trading and Content & Technology solutions and the execution of our price increase. Our Americas price increase delivered $30.7 million in ASV, up $10.6 million from last year. In addition, the region benefited from improved expansion with banking, wealth management and asset management clients. We also had strong sales of middle office solutions. While new business decelerated overall for the quarter, we saw strength in new logos from asset owners. In Asia-Pacific, we delivered Organic ASV growth of 10.8%, performance was driven by research with improved expansion and retention in banking. Expansion also improved among asset managers and asset owners, although this was partially offset by client cancellations. Given the recent changes in COVID policy across Asia, we are starting to see improvement in the pipeline. However, we expect a light effect as the market normalizes. Finally in EMEA, Organic ASV growth accelerated to 8.1%. Acceleration was driven by Analytics & Trading, where we saw an improvement in expansion and retention among asset owners. Improved retention among private equity and venture capital firms and hedge funds also contributed to growth. However, we also experienced headwinds as the major markets in the region remain under cost pressure and the United Kingdom begins to see an adverse impact from Brexit. In summary, I'm pleased with our first half performance. We're confident in our ability to meet our medium term outlook, despite marketing conditions, and as we head into the second half, we have a solid pipeline, driven by our open platform, connected content and market-leading workflow solutions. And with more than 40 years of growth, FactSet, has a proven history of successfully navigating market volatility. Our greatest asset is our people and I'd like to wrap-up by recognizing their diligence and commitment to our strategic priorities. We were honored to be named one of Glassdoor's Best Places to Work in 2023 and I want to thank all FactSetters for helping create the culture that made this award possible. At FactSet, we're committed to growth for our clients, employees, investors and communities. We recently published our fiscal year 2022 sustainability report themes commitment to action. The report highlights the progress we have made in turning our commitments into action. And I encourage you all to take a look. I'll now turn it over to Linda to discuss our second fiscal quarter performance in more detail.
Linda Huber: Thank you, Phil, and hello to everyone on the call. As you've seen from our press release this morning, we're pleased to report continued high single-digit organic ASV growth and double-digit growth of revenue and adjusted EPS year-over-year. I will now share additional details on our second quarter performance. Consistent with our definition of organic revenues in ASV, we will exclude any revenue in ASV associated with CUSIP Global Services when reporting organic metrics. Given the first anniversary of the CGS acquisition on March 1st, 2023, CGS will be included in the organic results of FactSet as a component of our CTS business starting in the third fiscal quarter of 2023. As Kendra noted, a reconciliation of our adjusted metrics to comparable GAAP figures is included at the end of our press release. We grew organic ASV plus professional services by 9.1% year-over-year and acceleration over the last quarter and a solid finish for our first half. Our performance reflects the strength of our recurring sales model and disciplined execution by our sales team as our clients look to technology and data to drive alpha. We saw improved retention and expansion among existing clients. Price realization also continues to improve as we executed a higher price increase over a larger client base. GAAP revenue increased by 19.5% to $515 million for the second quarter. Organic revenue, which excludes any impact from acquisitions and dispositions over the last 12 months and foreign exchange increased 8.9% to $470 million. Growth was driven primarily by CGS and our Analytics & Trading and Content & Technology solutions. For our geographic segments, on an organic basis, revenue growth for the Americas was 8.2%, benefiting from increases in Content & Technology solutions and Analytics & Trading. EMEA revenue also grew at 8.2%, primarily due to growth in Analytics & Trading. And finally, Asia Pacific revenue growth increased 15.3% due to increases in Research & Advisory and Content & Technology solutions. GAAP operating expenses grew 12.4% in the second quarter to $346 million. And I'll now detail the drivers based on our primary cost buckets. First, people, our expenses grew by 10% year-over-year in the second quarter, primarily due to increased salary and bonus expenses for existing employees. As a percentage of revenue, this was 350 basis points lower year-over-year, driven by slower salary growth as a percentage of revenue, higher labor capitalization and FX benefit. We saw headcount increase by 10.3% year-over-year, with two-thirds of these new positions located in our Centers of Excellence. And as a reminder, more than 66% of our employees are located in our Centers of Excellence. Next, facilities expense decreased by 7% year-over-year due to our reduced real estate footprint lapping of the previous year's impairment charge of $10 million and FX benefit. As a percentage of revenue, this was 360 basis points lower year-over-year. As we continue our intense focus on cost management, we expect to take another real estate charge of approximately $15 million to $20 million later this fiscal year. Moving on, technology expenses increased by 27%, driven by increased cloud spend, third party software costs and higher amortization of internal use software. As a percentage of revenue growth was 50 basis points higher year-over-year due to higher capitalization of internal use software. As we explained during last year's Investor Day, we anticipate technology costs being 8.5% to 9% of revenue over the medium term. Technology expenses will likely continue to increase as we invest for growth. And finally, third party content costs increased by 5% year-over-year. Our team is doing an excellent job of controlling third party data costs despite inflationary pressure. As a percentage of revenue growth in third party content costs was 70 basis points lower year-over-year. And now turning to the margin front. Our GAAP operating margin increased by 430 basis points to 32.9% compared to the previous year. Our adjusted operating margin improved by 330 basis points to 37%. Margin expansion resulted from higher revenue, lower personnel costs as a percentage of revenue. The lapping of the prior year's impairment charge and lower content and facilities costs. These savings were slightly offset by higher technology costs and expenses related to CGS. As a percentage of revenue. Our impairment expense was 230 basis points lower than last year's on a GAAP basis. You'll find an expense walk from revenue to adjusted operating income in the appendix of today's earnings presentation. As a percentage of revenue, our cost of sales was 50 basis points higher than last year's on a GAAP basis, largely as a result of increased amortization of intangible assets expenses related to CGS and technology costs. This was partially offset by lower personnel costs as a percentage of revenue. On an adjusted basis, it was 180 basis points lower due to lower personnel costs as a percentage of revenue, partially offset by expenses related to CGS and higher technology costs. And finally, on a GAAP basis, SG&A was 245 basis points lower year-over-year as a percentage of revenue and 150 basis points lower on an adjusted basis. This was primarily due to decreases in facilities expense and professional services. This was partially offset by an increase in T&E as our teams resumed essential travels. Turning now to tax. Our tax rate for the quarter was 16.1%, a 6.2% increase compared to last year's rate of 9.9%. The higher Q2 tax rate is due to higher pre-tax income and lower stock option exercise. Going forward, it's important to note that we expect more volatility in our tax rate. One driver will be foreign tax. In April, the UK statutory rate will increase from 19% to 25%, increasing FactSet's foreign effective tax rate and reducing the tax benefit of foreign income. Stock option exercise will also fluctuate with our stock price generally, resulting in lower tax rate when the stock price is higher and higher tax rate when the price is lower. Also, as we finalize our tax returns for prior years, we have the potential for one -time charges, which could also be helpful. Even with this variability and a higher tax rate for the second quarter, we expect to end fiscal 2023 with an effective tax rate of 13.5% to 14.5%. GAAP EPS increased 19% to $3.38 this quarter versus $2.84 in the prior year. Adjusted diluted EPS grew 16.2% to $3.80. Both EPS figures were driven by higher revenue and margin expansion, partially offset by increased interest expense and the higher tax rate. Also of note, Q2 EBITDA increased to $200 million, up 45.4% year-over -year due to higher operating income. And finally, free cash flow, which we define as cash generated from operations less capital spending was $147 million for the quarter, an increase of 34% over the same period last year. This was due to higher net income, partially offset by increased capitalization costs from internal use software. We would note that strong free cash flow continues to be an attractive feature of FactSet's business model. Our ASV retention for the second quarter remained greater than 95%. We grew our total number of clients by 558 compared to the prior year, driven by corporate and wealth clients and channel partners. Our client retention remains at 92% year-over-year, demonstrating excellent execution by our sales and client support teams. Moving on to our balance sheet, during the second quarter, we completed another $125 million prepayment of the three-year term loan for the CGS acquisition. This was our fourth prepayment since the start of the loan. This brought our gross leverage ratio down to 2.4 times from 3.9 times level when we initially financed the CGS acquisition. This is well within our 2.5 times to 2 times gross leverage target and appropriate for our investment grade rating. Given that we are within our target range, we will slow the pace of repayment of the remaining 500 million outstanding balance of the term loan, which matures in 2025. Also, given our reduced leverage levels, we intend to resume share repurchases for the remainder of fiscal 2023. We currently have $181.3 million available for share repurchase under the company's existing authorization. We plan to allocate this amount equally in the third and fourth fiscal quarters. While bringing our repurchases back to previous levels will take time. We're focused on returning capital to shareholders. We will provide updates on our share repurchase program in the coming months. As Phil stated earlier, given our reduced core ASV outlook and the inclusion of CUSIP Global Services as part of our organic results, we are updating our guidance for fiscal 2023. We expect organic ASV growth of $145 million to $175 million, which is a $15 million reduction in core ASV growth at the midpoint. The decline is offset by the $10 million addition of CUSIP and remains within our medium term outlook of 8% to 9% organic ASV growth. Given the headwinds to ASV and lag timing of ASV in the first fiscal quarter, we expect revenue for fiscal 2023 to be in the range of $2.08 billion to $2.1 billion. At the midpoint, revenue growth is expected to be about 13%, a deceleration of 95 basis points from our previously issued guidance. Despite a slightly softer top line, we are confident that our disciplined expense management will allow us to protect margins and preserve EPS. Consistent with our downturn playbook, areas of focus include ongoing real estate rightsizing, rationalization of third party content costs and limiting hiring to essential positions. Based on forecasted performance, we also expect our year-end bonus pool to be in the range of $100 million to $105 million, roughly $10 million less than last year, which will provide an additional margin benefit. As a result of these measures, we are maintaining adjusted margin guidance of 34% to 35%, consistent with our Investor Day commitment of 50 basis points to 75 basis points of adjusted margin expansion on average per year. And finally, given the strength of our adjusted operating margin and revenue growth, we expect adjusted EPS of $14.50 to $14.90 for fiscal 2023 as previously communicated. Despite the uncertain environment, we remain confident regarding long-term growth. We have a diverse pipeline and are seeing higher retention, better expansion, improved price realization and increased demand for our products. In addition, our enterprise contracts and diverse end markets provide us with some downside protection in a turbulent market. As a result, we remain committed to our medium term outlook and are positioned well for the future. And with that, we're now ready for your questions. Operator?
Operator: And thank you. [Operator Instructions] And our first question comes from Manav Patnaik from Barclays. Your line is now open.
Brendan Popson: Good morning. This is Brendan on for Manav. Just want to ask on, the ASV – obviously, not entirely unexpected with everything going on. I appreciate the disclosures there on where it's coming from. I want to ask, you talked about two-thirds of being from banking. Would have expected maybe some of it's coming from venture capital to, if you guys walk through where exactly you expect that impact to be. And maybe it's just -- it's venture capital just such a small part of ASV doesn't matter. But if you could quantify that for us too, that would be great.
Helen Shan: Sure. Hi, this is Helen Shan. I'll take that question. So the end markets did begin to soften a bit at the beginning of the calendar year and obviously more volatile in the last few weeks. And as we said, two-thirds comes, we think, from banking and the third from the other types. And so we did plan for lower growth in banking after such strong years of growth post the pandemic. And actually, the first quarter was continued to be strong, but we did see some greater erosion in Q2 in part due to layoffs. And so that kind of got us to our number there of that two-thirds. PVC, we've not seen that. In fact, we've continued to see double-digit growth there. And so we don't feel that, that's going to be as big a factor. And it is, as you noted, somewhat relatively small. But for us, we'll have a lot to say more when we can see what happens in the hiring classes in in the fourth quarter. So that's really the driver of the banking piece. The rest comes from really just changes in client behaviour that we're seeing as Linda and Phil talked about earlier.
Brendan Popson: Okay. And then just one follow-up pivoting over to margin. Obviously, a really strong performance in the first half. And I know that second half is typically seasonally worse, but it's still, the number you guys have there still feels a little conservative, even if ASV comes in a little lower. Is there something to call out? I mean, it sounds like maybe more real estate charges are coming in. I mean, it seems like it feels like the 30 even 35 seems pretty beatable. But just -- if I'm missing something, just let me know.
Linda Huber: Brendan, it's Linda. And we appreciate your optimism on the margin front. A couple of things going on. We see ASV growth slowing primarily because we're now, excuse me, lapping the CUSIP acquisition. So growth, which had been as strong as 19.5%, will now come down toward 8%. And we see expense growth continuing at about 11% in the back half of the year. So those two things will combine to give us some margin compression. In the first half, we've had adjusted operating margin of about 37.6% and we do like our guidance of 34% to 35%. So if you do the math, you can see that adjusted operating margin will be closer to the zip code of 32% as we get to the back half of the year, we think. But we do hope that continued expense management will help us. The biggest piece that we're looking at here, as we said in the script, is potentially reducing our real estate footprint by another $15 million to $20 million as we get closer to the end of the year. Now that given the length of the leases that we have, provides another, call it, $3 million to $4 million back into the P&L for next year. And in total, last year, we did $62 million of real estate rightsizing. So with this, we'll be approaching $80 million in real estate rightsizing. So we think we've handled that quite well. Otherwise, we just keep our eyes on our downturn playbook. And we're managing all of this pretty closely. So hope that helps.
Brendan Popson: Great. Thank you.
Operator: And thank you. And one moment for our next question. And our next question comes from Alex Kramm from UBS. Your line is now open.
Alex Kramm: Yeah. Hey, good morning, everyone. Just quickly on the pricing, $30.7 million, clearly a nice increase from last year. But if I look at this correctly and I just look at your U.S. ASV, I think that works out to roughly 2.5%. I think you've been talking about the rec rate 6%. So just wondering, I know you don't get it on all of your book of business, but just talk about maybe if you saw a little bit more incremental pushback than you expected or how pricing discussions had gone relative to expectations and how we should be thinking about the European increase, which should be coming in the next quarter?
Helen Shan: Hey, Alex, it's Helen. I'll take that one. We've made really good progress in capturing value, both because of our fit-for-purpose packages and our higher price realization. And as Phil mentioned, we did get to raise 31 million from ASV just in the Americas alone, which is 10 million higher than the previous year, and really a fifth of our total ASV growth rate. So to your point, this increase is in part due to higher rate, but also the fact that we are able to capture more clients. 60% of our book here in America was captured, which is actually higher by 6.4%. But the remaining part a lot of that is in our long-term contracts that we have negotiated step ups. And so we don't include that in the annual price increase or for those that we were able to recently renew or new clients in Q1. And then also keep in mind, because of our calendar year-end, Alex, that first quarter that folks are still on last year's rate increase. And then so you're really getting three quarters of it for this year. So that is part of the reason if you're trying to get to a math piece there. But our sales force has been terrific in being able to help clients understand with our -- the value of our increased investments and being able to get the higher price increase. We did not see more pushback this year than in previous years. So that is not at all the behaviour that we dealt with.
Alex Kramm: Okay, great. Thank you for the color. And then second question, I'm not sure if I'm the right person to ask it, but I will anyways. I mean, obviously UBS is buying Credit Suisse and I think this is the first, I guess, bulge bracket marriage or forced marriage that we've seen since the financial crisis. So when I go back to 2008, 2009 performance, you certainly saw that impact. Phil, I heard you in terms of highlighting how big some of - or how big the biggest customers are. But could you talk about how something like that may impact you? I would assume this is more a fiscal year '24 event. And then if I think about the relative size relative to what you said earlier, I mean, it's like 15 million plus or minus the right ballpark for a client of that size. Or can you help us a little bit about a potential impact here?
Philip Snow: Yeah. So, hey, Alex, it's Phil. I'm not going to talk about the specific size of any particular client, but I think you can assume, right, that FactSet has a good footprint within these large global banks. But it's not just the investment banking teams. Very often it's on the asset management side, and also there'll be wealth users as well. So we've got a very nice distributed portfolio across these firms. I think part of why we're being a bit more prudent here in the second half is, we do get a lot of banking ASV in Q4 based on the hiring of these banks. So we're not quite sure how this is going to play out, you know, whether or not there's going to be more consolidation or not. But typically we do okay, right, during these periods. FactSet's very sticky. We're there to help our clients. We're very trusted. We have a much more diverse portfolio than we had, you know, ten years ago, that's for sure. And usually, you know, if people leave these firms, they end up somewhere else and if they like FactSet, they'll -- they'll ask for it when they get that, which is always great. So it is hard to predict, but you know, we've handled this well in the past and we think we're very well equipped to handle it if there's even more uncertainty moving forward.
Alex Kramm: Fair enough. Thank you.
Operator: And thank you. And one moment for our next question. And our next question comes from George Tong from Goldman Sachs. Your line is now open.
George Tong: Hi, Thanks. Good morning. Your ASV guidance plans for slower growth from the banking category. Can you describe what you're seeing with the sales cycles there and the broader pipeline? How much of the guidance reduction reflects what you've already seen versus conservatism around what you expect to see?
Linda Huber: Hey, George. I'll take that. It's a little bit of a combination of both. I mean, obviously this quarter has been a terrific one given our 9% plus growth rate, but we are seeing some higher erosion. And so that's something we're taking into effect. Banking is a pretty large piece of our Q4, so there's probably a bit of conservatism there, but that's because we don't have that visibility at this -- at this time. But -- but knowing where we think hiring will go, that's where that -- that drives that two thirds piece. In terms of the rest of the -- the book, we are seeing that more deals it's taking longer to get some of the deals over the line. And quite frankly, what's the benefit is the fact that we see quite a few that are still in the commercial negotiation stage, meaning, they're in the right place, but it's taking a little longer. So that really speaks to the quality of the book, which is still solid. But given timing, it may take a little bit longer to -- to monetize.
George Tong: Got it. That's helpful context. And as a follow-up on a turn to margins, you had mentioned before that you expect margins to move lower heading through the year and understand the seasonality of margins. If you look at year-over-year comparisons with margins, which essentially would wash out seasonality, how do you expect margin -- margins to progress year-over-year? And what are the key puts and takes as you think about margin expansion or contraction year –over-year?
Linda Huber: George, the seasonality and the pattern is -- is very similar to what it was last year in FY'22. And as we move forward, we would probably give you a little bit of outlook here on our four main cost buckets. People, we expect that cost will continue to increase as we go through the back half of this year. We have additional headcount, two thirds of it in offshore locations, but we do have additional headcount and we're offsetting that by higher capitalization. We've done very well across the firm to increase the rate of capitalization, which is appropriate. And in the first half of the year, I would note our capitalization was $35 million. But the back half, you're going to want to pick that up even a little bit more as the tech spend is heavier and thus the capitalization will be higher as well. On the technology costs more specifically, we still see that we'll be within the 8% to 9% of revenue for tech costs. But this is a growing business and we are increasing our tech spend to support it. We talked about real estate, another charge of $15 million to $20 million that we have planned. This has been an area where I think we've done a great job of rationalizing our costs and it's been very helpful to us with absolutely no impact on anything else that we're doing. Third party data similarly has had a slight growth 3%, but given the rate of inflation, that looks pretty good. So we're pretty happy about that. So what we're going to do is we're going to continue our focus on our downturn playbook. Right now we are looking at essential hires only. Travel is prioritized for essential trips, primarily around Helen's Sales team. And we've talked about real estate and we are negotiating hard on third party content. So all of that together we think is manageable. The last piece that we would note on people costs, our bonus pool, we're thinking is going to be sort of $100 million to $105 million. Last year we had a bonus pool, which was more like $115 million. So we're looking for about call it $10ish million savings on that if we perform at a 100% of our targets. So again last year was a very strong bonus year. This year we'll probably be a bit more moderate and we'll continue to update you on this as we move through the year. So hope that's helpful to you, George, and I hope I covered everything you wanted.
George Tong: Very helpful. Thank you.
Linda Huber: Sure.
Operator: And thank you. And one moment for our next question. And our next question comes from Andrew Nicholas from William Blair. Your line is now open.
Andrew Nicholas: Hi. Good morning and thanks for taking my questions. I think, Phil, you mentioned CGS ASV growth of 8% here since acquiring it. And I think that's on the higher end of what that business had historically grown at least in terms of revenue. So I'm just wondering if you could speak to the sustainability of being kind of in that high single-digit range and maybe a little bit more on the progress of some of the new opportunities there on -- on private company data in particular?
Philip Snow: Yeah. Thanks for the question. Yeah, we feel confident. You know, we've had this asset for a year now, so we're still getting to know it. It's a very steady, consistent business. We're executing exceptionally well. We've got a great sales team. Almost all of the employees that came over during the acquisition are still with us and very happy. And I think some of, you know, the growth can just be attributed to good execution, frankly, in terms of the contracts. And as new issuance comes out, you know, it is getting -- into issuing CUSIPS for new asset classes isn't a very quick process, right? There's a lot of parties you have to bring to the table and get on board to do that. So we're making good progress there on the two areas that I mentioned, particularly the loan entity IDs. So it's a consistent business. You know, I think you should see steady performance from it. But again, we're just getting to know this asset really well now that we've had it for a year.
Andrew Nicholas: Perfect. Thank you. And then switching gears a bit for my follow-up. I wanted to ask you a question on wealth. Obviously another nice win there with the BMO add in the quarter. We're just hoping you could spend maybe a bit more time walking through the major reasons you're winning in that space. And maybe more importantly, from my perspective, when you're not winning deals, are there -- are there major gaps in your offering that -- that consistently come up? And as you think about those gaps, are those generally opportunities to -- to address those organically or would we eventually expect to see you acquire into those gaps? Thank you.
Philip Snow: Yes. Thanks for the follow-up question. There are no gaps related to the product that we intended to take to market, so we're doing very well with the advisor workstation. And, you know, some of the reasons we're winning really are just the ease of use of the interface, the speed of it, the flexibility FactSet's, you know, superior analytics capabilities, integrating portfolios. The advisor dashboard that we've layered on top of -- of this for some clients really suggest the next best action for the advisors. That's been a big hit and just I think our open and flexible technology in addition to the interface itself, allows the firm to bring in feeds and other components that they may want into other parts of that business. So it continues to grow in double-digits. It was a double-digit growth for I think seven or eight quarters in a row now. So a very consistent performer and we still see a lot of room here to grow. The tailwinds in the space and as you pointed out, there are some obvious adjacencies that could -- fax it could get into -- could get into. So we're looking at those, you know, and if there's an opportunity to do something, either buy or build, we'll take advantage of that. Helen, do you want to add on?
Helen Shan: Yeah, no, I was going to say that a lot of the -- our wealth clients are really investing into their own technology platforms. So exactly what Phil said, once we land with our workstation, quite frankly, there's a lot of room for growth with the advisor dashboard and other digital solutions. And since they're investing in their platform and because we have an open strategy, we are actually seeing tons of opportunity. So I think there's a lot there for us to -- to continue to grow on.
Andrew Nicholas: Great. Thank you.
Operator: And thank you. And one moment for our next question. And our next question comes from Faiza Alwy from Deutsche Bank. Your line is now open.
Faiza Alwy: Yes. Hi. Good morning. Thanks. Phil, I wanted to ask about investments because it looks like the pace of investments is going to accelerate, which is -- which is typically the case seasonally. But I'm curious if, you know, given the recent volatility, if you're thinking around the types of areas that you're investing in has evolved at all?
Philip Snow: Sure. Thanks, Faiza. I mean, it's a little bit early to comment on exactly what we'll be doing. This is the time of year that we look at our strategy and consider, you know, what we might want to think about for next year in terms of any changes. Many of the initiatives that we set out to execute on a few years ago, these are long initiatives. So we continue to execute well on our deep sector and private markets offerings. We're doing well in real time. I mentioned a very nice deal that we captured in Q2 as a result of that investment and we've actually tilted more investment towards that this year. We just see so much opportunity in that space. You know, one thing, I can sort of highlight or I'd like to highlight is, you know, FactSet has great content analytics and we're also a technology company and we've done so much work to invest in our platform with our hybrid cloud strategy partnerships. We've developed our API program. All of that is really beginning to bear fruit. And we do believe that the technology piece of what we do is going to help us more in the future. And you actually see that in CTS. So CTS had a very good quarter, grew in double-digits accelerated. And if you look at what CTS is providing to the market is Content & Technology solutions, but this quarter it really tilted towards the technology part, which is exciting, you know, sitting down with our clients, helping them manage data, helping them in other ways. So that's a bit of the evolution there, if that's helpful to you and maybe gives you a bit of a hint of sort of where we're headed into next year.
Faiza Alwy: Great. That's very helpful. Just as a follow-up, I wanted to ask about capital allocation. So Linda you mentioned that you expect to slow the pace of repayments on the debt side. Maybe talk about how you're looking to balance debt paydown versus share buybacks like should we expect all buybacks to happen immediately this year? Or just give us a bit more color in terms of how you're -- how you're thinking about those things?
Linda Huber: Sure, Faiza. The first order for FactSet for capital allocation is to reinvest in our strong and fast growing businesses as Phil just explained. Our investment pool is pretty much the same this year as it was last year. We've tracked our investments. They've done very well. We'll continue with the things that are going very nicely for us and maybe pick up a thing or two that's -- that's new. But investment comes first. And then we have our dividend, which as you can see, has been quite steady and has grown nicely over the years. We're about coming up to the time where we think about what will happen next with the dividend. And then on share repurchase. We have $181.3 million in our authorization. The plan is to spread that evenly over the remaining 5-ish months of the year, and we'll use a 10b5-1 in grid repurchase program. So we'll put that into place here sometime in the coming weeks. And we're -- we're pretty excited about resuming share repurchase. So I think that probably pretty much covers what we'll be looking to do In terms of capital allocation. I think we see this more as sort of getting back to what we've done before. On the pay down of the loans -- loan for CUSIP, we had been paying down 125 million a quarter. We may slow that down to even sort of half-ish of that pace. And you know all these things together I think should help us get some capital back to shareholders in a way that's more typical of -- of what FactSet has done in previous years. So we're excited about getting back to share repurchase. It is the back half of the year. It's not going to move the average share count all that much for 2023, but it will be quite helpful to us as we move into 2024. So I hope that detail was helpful to you, Faiza.
Faiza Alwy: Yes, very helpful. Thank you.
Operator: And thank you. And one moment for our next question. And our next question comes from Craig Huber from Huber Research Partners. Your line is now open.
Craig Huber: Great. Thank you. My first question, if you go a little bit deeper, if you would please, on the sales cycle that you're seeing on your buy side clients, both you know the asset managers, hedge funds, but also love to hear a little bit on the venture capital and private equity firms out there, how that sales cycle is tracking for you?
Linda Huber: Hi, Craig. I'll take that one. Yeah, I think when we interestingly as opposed to specifically on the firm types, but as we're taking a look at sort of the size of firms, that's where we're seeing a little bit of a difference with regard to -- with regard to sales cycles. So what I mean by that is many of our larger clients are really going through their digital transformation. And because they've already spent probably 12 to 24 months investing, planning, our ability to continue with them, you know, when we think about deals that are taking longer, it's not in necessarily the largest of deals. It's actually more in the mid-size. So, as a result, we are, we feel some downside protection on that. But, you know, things will take a little bit longer. We can tell from the deals and how long they're taking and moving from one quarter to the next, not, not, not very, very long. But as we said, the trend is coming that way. And so we're just keeping an eye on it.
Craig Huber: And then how would you characterize the -- the revised ASV outlook here in terms of conservativeness given -- given the environment, I don't blame you for being conservative there and but just how did you put that together in terms of as the question came up earlier, I just want to hear a little bit further about what you're hearing from clients versus what you layered on top of that, trying to anticipate about tougher economic and stock market backdrop?
Philip Snow: Hey, Craig, maybe I'll say a few things and then I'm sure Helen will have some -- some stuff to add on. So, you know, for the second half, what I do want to highlight is the strength that we're seeing in Analytics and CTS. So when -- they've had both -- both had very good quarters and the pipeline for both of those lines of business look very good. So you think of these more as our enterprise solutions. So we see a very healthy appetite from our clients for these across a number of firm types. The conservatism is coming around our research area, which really has to do with the seats and, you know, primarily in banking. So that's a bit of the thinking. And then as I mentioned in my opening comments, you know, we see about two thirds of the correction that we made to banking and the other third to fund types. So, Helen, I don't know if you wanted to add on and sort of help with any.
Helen Shan: Yeah, I think it's also important to keep in mind the shape and mix of our banking book. So, so first of all, we have seen acceleration in a lot of the cross-selling we're doing. So as banks are, we've had growth in data feeds, API integration, digital solutions in there. So it's not only around the workstation itself. And then the other piece is to really think about both the large banks, sort of the majors, as we call them, and then the middle market banking clients where a number of advisory boutiques actually are making opportunistic hiring decisions. And so that's helped keep the book in decent shape. So we do expect this sector to be slower than last year. But I think the diversification and what we're offering them and the mix of the client portfolio and of course the multiyear contracts that have minimums, two thirds of our book have minimums in there in the banking. So that gives us some downside protection. So I feel pretty good about our ability to manage through that -- that downturn.
Craig Huber: Great. Thank you.
Operator: And thank you. And one moment for our next question. And our next question comes from Ashish Sabadra from RBC Capital Markets. Your line is now open.
Ashish Sabadra: Thanks for taking my question. I just wanted to drill down further on the -- on the two areas which have been really strong Content and Analytics and that's mostly focused on the buy side, which is more than like 87% of your business. And in this environment, the buy side has been relatively resilient, at least as far as we can see. So question there was -- and I get the sorry the comments around elongation of sales cycle, but I was just wondering if you can talk about the pipeline itself. How is the pipeline comparing even compared to three months before? Are you seeing more deals come into the pipeline? And is it just a matter of maybe they get pushed out from fourth quarter to fiscal year '24 versus the ability to close the deal? Thanks.
Philip Snow: Hey, Ashish. It's Phil. I'll start. So, yeah, we're seeing very good pipelines for both Analytics and CTS. And this really I think is just in line with the mega trends that we've seen on the buy side for the last few years. So all these firms are going through their own transformations. They want to do more with less partners essentially. So they're looking for those anchor partners like FactSet that they can work with that have the majority of what they need from a technology and content standpoint, and then they want to shorten the tail. There's also a shift to outsourcing. So we're seeing a lot of the asset services beginning to do more for asset management clients. You know, we think we're in about 70% of the asset services at different stages of working with them, but we've got very good partnerships there that's really built up over the last year or two where FactSet's superior middle office solutions, whether it's risk performance reporting or all the multi-asset class capabilities. We can deploy those now to the buy side either directly ourselves or through partners like asset services. So that's a big trend. We're also seeing very good strength in asset owners. That firm type accelerated this quarter for -- for some of the same reasons, just the strength of those solutions that we offer. So that's a trend. I think also, you know, Helen mentioned sort of the open technology that's working very well with wealth clients. That's true with, you know, asset managers as well. So there's lots of ways that we can help them. On the CTS side, the real time data had a very strong quarter. We had that key deal. We see a lot of opportunity there, a very strong pipeline for what we're calling market data-as-a-service. So FactSet is delivering this through the cloud, which is new. So for clients that have had very heavy on-prem solutions for real time, historically, we're offering a next generation solution for them that we think is very exciting. So that's one of the things I would highlight in CTS.
Ashish Sabadra: That's very helpful color. Sorry, go ahead.
Linda Huber: I was just going to add one quick thing. In this sorts of periods, the thing you want to focus on as well is retention. And our retention has continued to be incredibly strong. And as we think about the expansion with the buy side from a workflow perspective, we continue to see strength in the middle office with performance solution. And as Phil said back office with real time where we're the only provider with a ticker plant in the cloud and that's a differentiating factor that's very much resonating. And then to your last point, when we see delays, we are not seeing -- seeing those deals necessarily fall out, meaning they're not lost or cancelled. And I think that plays a bit into the comment made around when they will -- when they will come actually become monetized.
Ashish Sabadra: That's great color. Thank you very much. And maybe if I can just ask on the wealth front, despite the BMO, when the wealth was not highlighted as a strength in the second quarter. So I was just wondering, does that come in the back half of the year or does that get classified as something else in terms of ASV? Thanks.
Linda Huber: Yeah, no, wealth is a terrific growth area for us and Bank of Montreal deal is in this quarter, but it's just part one we believe as they continue on their complete digital transformation. In fact, it's in the statement that they gave in the press release, we'll -- we'll follow them through that. So but it is in this quarter.
Ashish Sabadra: That's very helpful color. Thanks.
Operator: And thank you. And one moment for our next question. And our next question comes from Russell Quelch from Redburn. Your line is now open.
Russell Quelch: Yeah, thanks for having me on. So I just want to go back to the point on margins. And if we go back ten years, your gross margin was somewhere around sort of 65%. Today that number sits just over 50%. Is it a function that you have to buy more third party data and that cost is increasing? I sort of heard your answer to George's questions in terms of near-term margin drivers, but is there more you could do to improve efficiencies in operations to improve the gross margin over time, again just noting that best-in-class here operate above 80% gross margin.
Linda Huber: Russell, it's Linda. Yeah, best-in-class in our competitor set is above where we are. But there are different businesses. Some of the companies have an index business which has a 75% plus margin, and some of them have ratings businesses which have 55% plus margins. We have neither of those businesses. We think we're doing really well. On the margin increase front, we've said 50 basis points to 75 basis points on adjusted operating margin and that we will see that on average over the next few years. So we've been making really good progress on that. Are there more things we could do on margin? The answer is definitely yes. I spoke about what we're looking to do in terms of further reduction in our real estate footprint, and we're very proud of the cost control efforts that we've put in place already. I think the main part of the effort here that Phil may want to pick up on is what we're doing to automate our content collection. And that's kind of the -- the biggest opportunity that we have. And technology is changing very rapidly in that area. We are able to move much more quickly with content collection and do much more, much more quickly than we were able to do previously even a year ago. And I'm not sure that it's relevant to comment on what happened really ten years ago. This company was very, very much different ten years ago. So we're working on the margin. We have done what we said we will do even with a $15 million decrease in the core ASV growth, we're still holding margin for -- for the year with the increases that we had spoken about before. So maybe I'll turn it over to Phil here and let him talk a little bit more about some of the opportunities that we see particularly in the content area.
Philip Snow: Sure. Thanks, Linda. Yeah, so yeah, Russell, we've been re-architecting our content collection efforts and really automating things more than we had in the past. So that's been an on-going effort. It was necessary for us to do that because of the deep sector initiative and some other content sets that we're beginning to collect at scale. So we're, you know, way less than half way through that. But we have a lot of content sets beginning to go through it. It looks very promising. And the question just becomes, okay, does that flow through to margin or does FactSet continue to invest in even more content, right, to help drive the top line? But there's a lot of automation opportunity, not just within content, but I think within different parts of our business moving forward.
Russell Quelch: Okay. Yeah. Thanks. Okay. Just as a follow-up, in terms of client growth, the client growth has been under 100 for two consecutive quarters now I think. To what degree do you think that's due to just the backdrop or is there an element to which we're seeing the impact of increased competition particularly in financial markets, workstations from some of your peers?
Philip Snow: I wouldn't attribute it to increased competition. New business is down because I think because of the environment. But we still are showing very strong growth in new logos from corporates. There'll be a big opportunity for private equity firms. This quarter we actually grew our institutional asset management clients I think by ten. So we're seeing growth, you know, across different firm types. So, you know, we are you know, we do exist in a lot of the large firms that are out there already. So, you know, the potential for FactSet really exists within a lot of the existing clients. But it is nice to get new names, you know, as firms get formed.
Russell Quelch: Thanks both.
Operator: And thank you. And one moment for our next question. And our next question comes from Kevin McVeigh from Credit Suisse AG. Your line is now open.
Kevin McVeigh: Great. Thanks so much. Hey, Phil, you had a comment on the call where you talked about CTS tilting more towards technology as opposed to content. Can you maybe just disaggregate that a little bit? How much, if you can, how much does CTS today is kind of content versus technology and is there a meaningful difference in the growth there? And then is it kind of the -- the Snowflake relationships and Helen describing that technology adoption or is it to Helen's point earlier just the sophistication of the clients you're serving?
Philip Snow: Yeah, hey, Kevin, the vast majority of this content. And when I talk about technology, it's probably being able to deliver that content in that same content in new ways. So if you went back ten years ago, we'd be shipping you a comma delimited flat file that you'd be putting into your internal systems and having to do a lot of work with. But now we do have, you know, delivery through APIs, through Snowflake, through lots of other partners and beginning to layer on some services. So one service that we have is something called concordance-as-a-service. So if you have some data, you don't want to go through all of the mapping of it yourself. FactSet is very good at that. That's what we built our business on. We will provide that service. So we believe there's opportunities like that. Moving forward to lean in real time, where I think I'm characterizing that as technology. You could say it's content as well, but the fact that we're -- we've put this technology up in the cloud. We think is really interesting from a technology standpoint and going to drive growth further growth for CTS moving forward.
Kevin McVeigh: Super helpful. And then -- this may be obvious, but Linda, if you could just humor me. The difference in the ASV relative to the revenue. It looks like a $5 million tweak and I know CUSIP comes in versus the revenue looks like it's $15 million to $20 million. Is there any way to think about the delta between those two?
Linda Huber: Yeah, Kevin, I think you make a good point. The conversion of ASV into revenue a little bit perhaps slowed as to where it was before because we had a little bit lighter first quarter in particular. But I don't think there's going to be anything there that's -- that's major. We feel pretty good about each of those estimates. And it's probably worth saying we're doing this, Kevin, as you know, it's been a pretty dramatic time. We have to revise guidance here four days after a very eventful weekend. So it is possible that, that maybe we're being overly conservative. We don't know yet. But, you know, as we -- as we watch going through the rest of the year, we'll be updating as to where we stand. But we did want to try to be very thoughtful about what we're -- what we're seeing right now. And good point on the -- the conversion to revenue. Thanks very much, Kevin.
Kevin McVeigh: Thank you.
Operator: And thank you. And one moment for our next question. And our next question comes from Shlomo Rosenbaum from Stifel. Your line is now open.
Shlomo Rosenbaum: Hi. Thank you very much for taking my questions. Phil, can you elaborate a little bit on the cancellations you touched on? Is there something in particular? Is it people getting laid off? Is it some firm closures? Maybe you can just expand on that a little bit?
Philip Snow: Can you help clarify the question? I'm not sure what cancellations I referred to.
Shlomo Rosenbaum: I thought you were when you're discussing Americas, that you had some area that you said you were some of the positives or one of the negatives. I thought there was -- there were some cancellations that you had highlighted. Could be that I misunderstood it?
Philip Snow: Yeah. I think you might have misunderstood that?
Shlomo Rosenbaum: Okay. Go ahead.
Helen Shan: Hi, Shlomo. It's Helen. Yeah, no, we've actually had very good retention. There is erosion that's happening in cases on a bit on the banking side, which is why we are taking our more deliberate approach on thinking about that. But there wasn't anything material this quarter.
Shlomo Rosenbaum: Okay. Thank you. And then, Linda, you talked a little bit about real estate potential, additional real estate that you're planning to do some more actions on the rest of the year. If you look at your downturn playbook, is there a lot more levers that you can kind of push in that downturn playbook beyond what you've kind of laid out for us in the last several quarters? In other words, if you -- if we do see that this kind of spirals more after, as you noted, was a very eventful weekend last weekend?
Linda Huber: Yeah, Shlomo. Great question. We do have some additional thoughts on things we could do. For example, we've added back a bit to travel and entertainment, particularly for Helen's team, for critical client usage and for critical pipeline activity. So we could pull back on that again a little bit. But frankly, I'd rather not because we're trying to get the -- the make sure the top line is as healthy as absolutely possible. Real estate is one that we're going to do. Technology costs may come in, may come in a bit lighter. We'll have to see how that goes. And please keep an eye on the capitalization rate. And then with people, it's largely about keeping to this essential hiring and making sure that we're communicating clearly with you on where the bonus pool is going. So those are -- those are the major things. And at this point, we feel pretty good about the way we're managing the company. I wanted to anticipate a question you always ask Shlomo. You're always ahead of everyone on days sales outstanding. It has popped up a bit as we brought CUSIP in-house. Job number one was to get the technology changeover completed successfully, not break anything. And we did that. So now our focus will turn to days sales outstanding, Shlomo, and we hope that we have some nice lower results on DSO to speak to you about in the third quarter, but glad you're paying attention to that detail.
Shlomo Rosenbaum: Thanks for pre-empting that.
Linda Huber: Happy to do so.
Operator: And thank you. And one moment for our next question. And our next question comes from Toni Kaplan from Morgan Stanley. Your line is now open.
Toni Kaplan: Thanks very much. You talked about the elongation of the sales cycle already and wanted to understand the impact on not just new customers, but also cross-selling like does cross-selling or up-selling start to get more complicated in this kind of environment? I guess what -- what product sets would you anticipate being the most impacted?
Linda Huber: Hey, Toni. I'll take a shot at that. I think for cross-selling, it becomes a little bit around client budgets. So we did talk about a longer sales cycle. It would be remiss of us to not also note that clearly folks are tightening their belts. So there is some of that coming into play. That being said, as I mentioned earlier, for our larger clients, many of them had set budgets. They need to continue to invest. So we've not seen some of the major changes on that front. There may be if they need to take something major in terms of change especially in certain areas right now because of changing from one provider to another. But in terms of add on, especially on feeds, we've seen very good positive momentum there. So I think the pressure will be more along the lines of material, new projects as opposed to expansion.
Toni Kaplan: Great. And then I think you mentioned some strength on the risk side. I guess in terms of the offerings there, can you just refresh us on, you know, is this within the asset management client base that's -- that's purchasing it? And like I guess how much of an uptick do you typically see or is it just offsetting something they might have purchased otherwise?
Philip Snow: Yeah, typically -- typically, our risk offering, Toni, is delivered through our analytics suite and that will be multi-asset class risk is really where the momentum has been for us over the last number of years. So we have a number of risk models on our system from third party providers that we integrate and then we do a lot of our own work on the risk side as well. So our FactSet really giving that choice and then very good analytics that are integrated with the rest of your portfolios, your performance suite, all of that has come together so nicely. With the acquisition of BISAM, Vermilion and getting those integrated into the core FactSet platform. So we just see, you know, when you go out and you're closing an asset owner or an asset manager risk usually is at the heart of their middle office system. And we believe that we've done such a nice job there. We have good momentum. It wasn't a particularly strong quarter for risk. It's a consistent performer, but it's always in the mix there with, you know, the rest of -- the rest of things. It's really at the heart of it. This quarter in analytics, we did very well with our quant product, which is which we're investing in, and we also did very well in fixed income. So it's nice to see fixed income have a good quarter as well.
Toni Kaplan: Perfect. Thank you.
Operator: And thank you. And one moment for our next question. And our next question comes from Owen Lau from Oppenheimer. Your line is now open.
Owen Lau: Thank you for taking my question. Could you please give us an update on the momentum in Asia Pacific? And I think organic ASV grew at 10.8% off a low base. You talk about recent change in COVID policy there. What do you see the environment there right now? And do you think the growth can accelerate from here going forward? Thanks.
Linda Huber: Thanks for that question. Yeah, we did see accelerated growth in the quarter, which is terrific. And in particular, some good demand in the first half in both Australia as well as in Japan. If I think about Australia, they had greater and improved retention and increased demand from asset owners in particular, as you know, they would be the super funds who are going through some consolidation and trying to gain efficiencies. And so they've got a lot of complexity on the data side. And as Phil just mentioned, our ability to help them manage through that, to connect their -- the different various data sets has really been a differentiator for us. So our concordance offering has helped them, for example, in creating an entity master. Now Japan has their own issues, but they've also expanded in terms of accelerated growth with asset managers. So we continue to see double-digit growth there in analytics. Now we do see that Hong Kong is still recovering. So I think we mentioned that last quarter, but activity has picked up a lot given post the relaxation of the zero COVID rule. So we think the pipeline there is beginning to book, but at this point, it's coming from, as you know, a bit of a low base. But we're very pleased to see the -- the improvement happening out in APAC.
Owen Lau: Got it. And then and also another product which is related to ESG offerings and also the attraction there. And I think there are some noise about like some funds are moving away from ESG investing. Do you see these as a material trend or you don't see that as you know as like troubling as the kind of some people who have reported? Thanks.
Philip Snow: Hey, Owen. It's Phil. So ESG is a very small piece of FactSet's business. Our strategy here is just to provide the picks and shovels that anyone in the market that wants to can build a view of ESG. You know, we'll provide choice of data that's out there, but we're not in the business of creating ESG ratings or anything like that. So, you know, we'll provide the tools that clients need, but it's not a huge focus for us. And you know what? I don't want to get lost today, right, with all of the volatility of the market is this was FactSet's strongest Q2 ever. We had a very good quarter and we had three deals across different parts of our businesses in the seven figures. We had a fantastic real time deal, which is new. We captured a large sell-side research deployment, which is very exciting. And then we had the BMO wealth deal that we've been able to be more public about. So all of this really points to the strength of our business, the diversity of it, and I think a reason for us all to be optimistic moving forward.
Owen Lau: Thank you very much.
Philip Snow: So in closing. Yes, sure. Thank you, Owen, and thanks everyone for your questions today. In closing, thank you all for joining us today. Please note that in conjunction with the first anniversary of our inaugural investment grade senior notes offering, we will be hosting a conference call for our fixed income investors on April 13th. Linda and I will give an update on performance and take questions from investors. Details can be found in our press release that we just issued on March 21st. In the meantime, feel free to contact Kendra Brown with additional questions and we look forward to speaking to you again soon Operator, that ends today's call.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.